Operator: Good day, ladies and gentlemen, and welcome to the 2U, Incorporated 2020 First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a Q&A session and instructions will be given at that time. I would now like to turn the call over to Mr. Ed Goodwin, Senior Vice President, Investor Relations. Sir, the floor is yours.
Ed Goodwin: Thank you, Operator. Good afternoon, everyone, and welcome to 2U's first quarter 2020 earnings conference call. On the call, we have Chip Paucek, our CEO and Paul Lalljie, our CFO. Following Chip and Paul's prepared remarks, we will take questions. This call has been simultaneously webcast on our website where you can find our press release, which was issued after the close of the market as well as our earnings presentation. The webcast replay of this call will be available for the next 90 days on our Company website under the Investor Relations link.
Christopher Paucek: Thanks Ed. I hope everyone's been safe, healthy and holding up as well as possible during these unprecedented times. It's clearly challenging for all companies to deal with the COVID-19 pandemic, and 2U is no exception. With that said, we're in the midst of witnessing a paradigm shifting moment for online education from which I believe 2U will emerge substantially stronger. In some ways, right now we're at the epicenter of what higher education is dealing with. The last four weeks have been intense for the business. As COVID-19 was beginning here in the U.S., 2U had to decide whether to hold our Investor Day. We did it virtually and it went well. As the pandemic continue to unfold, we successfully completed a convertible debt offering. In the conduct -- in the context of conducting an offering in this rapidly evolving and unpredictable environment, we provided strong preliminary first quarter results and withdrew guidance. Paul and his team have done a great job of adding liquidity to the balance sheet in a tricky capital markets environment, while providing a more robust capital structure, and enhancing our financial flexibility. That's a big win for all of our stakeholders.
Paul Lalljie: Thanks, Chip and good afternoon everyone. I'd like to start by saying that the fundamentals of our business are strong. We had a good first quarter in the face of the COVID-19 pandemic, with execution of business continuity plans limiting disruption. We recently issued $380 million in convertible notes, which lowered our cost of capital while giving us increased liquidity and financial flexibility. And we continue to see strength in our university pipeline. As the world responds to the crisis, we're in an excellent position to be a solution for our university partners and their students in a variety of ways. On this call, I'll go over our results for the quarter in more detail, discuss our recent capital raise, then give some color on how we're thinking about the rest of the year. Now I'd like to go through the results for the quarter. Revenue for the first quarter totaled $175.5 million, a 44% increase from $122.2 million. Organic revenue growth was 15%, an acceleration of 2 percentage points from last quarter driven primarily by strength in the grad segment. In the graduate program segment, revenue grew 14% over the first quarter of last year. This was driven by 16% increase in full course equivalence, partially offset by a 2% decline in revenue for FCE year-over-year. Revenue for FCE was essentially flat versus last quarter. For the first quarter, revenue in the alternative prudential segment totaled $57 million, which includes $35.4 million from Trilogy. FCEs for the segment were up 66%, while revenue for FCE was up 90%. Short course revenue increased 20% with program launched in the past year contributing nicely to the growth. Let's look at cost and expenses. Total operating expense for the quarter came in at $229.4  million a 56% year-over-year increase. Total marketing and sales expense grew 29% year-over-year. In response to the COVID-19, we spent less than we had originally planned, which speaks volumes to the variable nature of our marketing spend. Looking forward, we continue to adjust our marketing spend on what we're seeing in the market with a goal of spending that efficient marketing frontier. Net loss for the quarter was $60.1 million compared to net loss of $21.6 million for the first quarter of 2019. This was driven in part by an incremental $11.3 million in stock-based compensation due to changes in our compensation structure, and additional headcount from Trilogy. There was also an incremental $9.4 million in amortization of acquired intangible assets related to the Trilogy acquisition.
Operator: . Your first question comes from the line of Mr. Brad Zelnick from Credit Suisse. Your line is open, sir.
Brad Zelnick: Great, thank you so much, guys. I know this is an earnings call, but I just want to start by acknowledging how fantastic your mission is, and especially how you're helping the world during the current crisis. I think it's just really, really important to say that.
Christopher Paucek: Thank you, Brad. Really appreciate it.
Paul Lalljie: You're quite welcome.
Brad Zelnick: I've got questions.
Christopher Paucek: Yes, go ahead.
Brad Zelnick: Yes, no, please. You go ahead.
Christopher Paucek:
 --:
Brad Zelnick: For sure, I really mean it. I had a question for you, Chip. And a quick follow up for Paul. So, Chip in an earlier press release, you mentioned the company has begun developing solutions to enable continuity for universities on-campus and online efforts in the fall, can you expand on this a little bit more and how we should think about this from a monetization standpoint, as well as new partner relationships?
Christopher Paucek: Well, we have 73 partners. So there's a lot to do just within our partner base. So the first step was just to make sure everybody was up and running and doing as well as possible. And that's why we rolled out the training and all of that. For the fall, we think, by the next call, we'll be able to give a better estimate as to what the new solutions will look like, how they'll be structured. So, 2U OS essential, as we're calling it is, we think does allow the company to potentially open the door to some new university partners. And it's a combination of our technology and our support. We've had a really got a response to it. Unfortunately, this is a rapidly evolving and not much time has passed. So we're not yet at a point where we can give you too much clarity on exactly how many schools and what it looks like. But we do think it's a different model than the J-curve that you see in the investment programs. Now, separately, what also become clear in this, this part we can say strongly is that pipeline for our existing model will increase because of this. We're being careful and thoughtful about what we choose to do. And as a company, we have not made a decision to increase the number of -- sort of traditional investment based model programs that will run yet, but there's no doubt that demand has picked up. I think, the pandemic has sort of multi-dimensional impact to our partners, and it's clear that the investment model will be in more demand. So, Brad, I think by the time we get to the next call, we'll have a lot more to say, schools are in the decision making period, in terms of how they're going to handle fall. Studio in a box is pretty interesting because I think the notion of what people really need right now, it's a little bit less about the technology. Technology is the enabling function, but it's the pedagogy, the expertise of how to drive, high quality online instruction, and how to do it in an environment where you can't go to a studio easily. And so, very proud of the innovation that's occurred there. We've got a bunch of these being deployed right now. And we really like what it means for the company go forward. But, in the short-term, we're thinking much more about just how to support the schools, not necessarily focused on the financial benefits of it. We do think long-term, it will have great financial benefits, but net-net, we're thinking more about the people. These are relationships we've had for a very long time. And in some cases, we've had quite a bit of inbound of folks that are interested in us helping them figure-out how to build something positive going forward. S it's just been an extraordinary, four to six weeks. And we obviously had to convert during the process. So no shortage of activity going on here that I will tell you.
Brad Zelnick: Thanks, Chip. That all makes a lot of sense. And maybe just for Paul, does the convertible note transaction and in particular, upsizing the initial deal in any way change the way you're thinking about program launches or future investments? Thanks.
Paul Lalljie: Brad, one of the main things we wanted to -- we set out to do here at the beginning of the year is to give ourselves flexibility, we want to focus on positive cash flows. We want to focus on positive EBITDA. And we wanted to ensure that we had the financial flexibility. This transaction allowed us to do that. I mean, I listed some of them right. Let me revisit them for you. The first one is financial covenants. The second one is $11 million savings on free cash, if you will, because we're not going to pay that much of interest expense anymore. It does give us the latitude. However, all of this is governed by the framework that we outlined back in the fourth quarter of ‘19, which is we're going to manage by ROIC we're going to choose and select the programs as we optimize cash. And we're going to do it for the same quality that our partners have accustomed receiving from us. The bottom line is, we want to set us -- set ourselves up as well as possible to do as many as we can if the opportunity presents itself, but they have to fit our mold of what we're trying to accomplish as a company. Once we're disciplined. I think we will have the flexibility to increase cadence if we need to.
Brad Zelnick: Make sense. Thanks very much, Paul. Thanks for taking my questions.
Operator: Your next question comes from the line of Jeff Silber from BMO Capital Markets. Your line is open.
Jeff Silber: Thanks so much. Chip, I think you might have alluded to this in your earlier response. But I'm just curious in terms of the types of the conversations that you're having with university partners, either of the ones that are your current partners or potential partners. What are they looking for near-term? What are they looking for longer term?
Christopher Paucek: I mean, Jeff, so something we've been doing that, first of all, I would say in four weeks, we've had more Chancellor, Provost, President, CFO conversations than we had in 12 years. I don't think that's an overstatement. It's been extraordinary. One other things we've been doing is, we've are -- the President of our program management group of our partner relationships Andrew Hermelin, has been hosting these social hours that that are fascinating. It's just Andrew and, a variety of a really cross sort of functional group of, Presidents and Provost that wouldn't normally be in a room together, from a variety of different types of our partners, big state schools, elite private institutions, liberal arts schools, and it's been really something, this is a moment in time where I do feel like we have a point of view about what's going on across higher ed that I think it's pretty unique because of the broad sort of scope of our partner base. They definitely are looking for solutions to help drive quality online. I think everybody recognizes what happened in the fall, won't cut it on a go forward basis. And so, there is some, but not to the fall, I'm sorry for the spring. So there is some short, shorter term needs in terms of just getting higher quality online course up and running. And really, that's about the pedagogy. That's about being intentional about learning outcomes with each lesson It's not just about sort of a remote Zoom lecture, I think we've all become, we're all in Zoom meeting after Zoom meeting. And creating a high engaging environment is, of course, Zoom is a great partner of ours and we're thrilled to have them as a partner, but you've got to drive the higher quality overall online learning experience. So, that's been one conversation. And then we have engaged just really over the last couple of weeks on sort of, more forward looking, whether this last this -- how long this lasts, in the current state, we obviously all will start to get out of the home, the immediate stage of the pandemic where we can have some, get back to offices and schools and but schools to give them credit are dealing with not only something unprecedented, but you can -- what I think is happening right now is the pure hybridization of all online -- of all higher education. This is the hybridization of higher ed overnight. And people see the need for it. And I do feel genuinely blessed to be in the seat that we're in right now we are at the sort of crux of the whole thing. And we're really well positioned. But, right now, the key is just delivering to the partners and I would say, of course the first stage is just making sure that that everybody's in a good place, everybody's healthy and that our employees, we start with our employees, but as you move through this, it also became very clear to me as CEO to our Executive Team to our Board, that we have a massive responsibility right now to deliver for these schools, right when they need it most. And not just to deliver for them for next week, but to think about this over a multi-year period, and how we can be uniquely beneficial, and if you think about it, we -- some people saying higher education won't get a counter cyclical benefit. We can already throw that out the window, that's super clear that if you have high quality online programs based on what's happened in the last just two weeks that the demand is going to go up. But those that were saying that we're saying it's because of the alternative credentials, well we're one of the only companies that offers bootcamps and short courses. And we've got a decade plus track record of doing this. So, I just feel like this all happened. And we are the company that needs to be there and is being there for our partners. So you're hearing maybe some sense of personal responsibility that we deliver to folks at this moment. And I'm proud to tell you that we do feel that we are delivering.
Jeff Silber: Great, let me just drill down a little bit further. And again, I think you alluded to this a little bit earlier. Do you think you're going to see more demand on the undergraduate side I know you've already had strong demand on the graduate side. But is that an area we think we'll have further penetration?
Christopher Paucek: Yes, as a result of this, one of the things that has happened is you will hear us very soon announce our second undergrad program. We will get the announcement out as soon as we can. We do think there is real demand for undergrad and we're very pleased with the initial results of our first undergrad program, which obviously, was done before any of us had heard of Corona virus. So happens to be good timing but, a thoughtful plan is to how to drive a high quality online undergrad experience. It has been well underway it to you now for a long time. And that's becoming certainly more relevant. Now, I think what we want to make sure, we emphasize to this community is that, that doesn't mean that we're, sort of throwing out the window, all the things we said to you over the last nine months about how we're thinking about our investments and how we're thinking about guiding the company's financial picture. So we have to be able to balance the agenda. But there is no doubt to answer your question directly. The demand is up.
Jeff Silber: Great, thanks so much.
Operator: Your next question comes from the line of Ms. Sarah Hindlian-Bowler from Macquarie Group. Your line is open ma’am.
Sarah Hindlian-Bowler: Hi, great to hear everybody's voices and happy to hear you're all safe and well. Chip, I wanted to start with a question for you around the competitive environment out there. Are you seeing anything from your competitors or any shifts in the landscape like has happened over the past several years that you think is worth pointing out at this time?
Christopher Paucek: I guess, I would say I think we're uniquely positioned from a competitive standpoint, you've got this career curriculum continuum, that we have sort of breadth of the offerings that I just don't think anybody else really has and combine that with, when you look at what happened with remote learning, what's interesting that prior to COVID we had passed 700,000 live classes. Like, we've done this at a scale that I don't think anybody else has. And our Gallup study, I thought was really interesting, because we debuted it for the investor -- the virtual Investor Day, and it should put a nail in the coffin of any question whether online can be as good as the campus if you do it, right. It's really good. And we know how to do it right. And so from a competitive standpoint, we do feel like quality is going to continue the matter here. So the idea is higher education should be blended and connected it should be, the hybrid is real and we're good at that. And I feel like, we haven't had 10 seconds to think about competition in the last six weeks that I will tell you. So it's, sort of just back to our conversations with our partners in terms of how to support them. And we are excited that it does look like what will come out of this is a broader partner base.
Sarah Hindlian-Bowler: Awesome, thank you. That's really helpful Chip. And then Chip, this might be for you or for Paul. I'll let you guys decide. But I'm just wondering, I think really great that you discuss on this call balancing, positive free cash flow with the need to invest with these partners at such a critical time and in the world and with such an opening for distance learning. How do you think about potentially balancing, adding more new grad or undergrad programs in the 5 we were discussing most recently about, if you really do see windows and opportunities for spikes in demand, in my opinion it, those are worth going after. So I'm wondering how you're balancing thinking about free cash flow positive -- being positive with also the need to -- really take advantage of this opening for distance learning?
Paul Lalljie: Let me see, if I can start off here and Chip can jump in after. Look at the end of the day, I think we have we provide a benefit to society here in the offerings that we provide. At the same time, we are in an environment where these things are needed that societal benefit is needed. So to some extent, we have to balance with an eye towards we are needed, society needs us and we have to be there for them during that period of time. At the same time, I think we can, we were talking internally today about various opportunities. And one of the questions was, should we say yes or should we say no? And I said there is a third answer. The third answer is we can say yes. But it's about how we say yes. What does yes means? Does it look and feel like one of our normal programs, does it look and feel like something different? So we are in the process of looking at everything through the framework of return on invested capital, we're looking at it from the perspective of how do we optimize the cash and liquidity position that we have? And at the same time, how do we fulfill our duty to society because they're looking for us at this time of need. So it is a balance across the three, and I think opportunities are not going to wait for us, I think we have to take advantage of opportunities when they present themselves. So I think we will lean towards helping as best as we can and as quickly as we can, because I think we're in a position to do so particularly with the capital structure, flexibility that we just got ourselves in the last month or so.
Sarah Hindlian-Bowler: Awesome, fantastic. That's very, very helpful. I appreciate that, Paul.
Paul Lalljie: Thank you.
Operator: Your next question comes from the line of Rishi Jaluria from D.A. Davidson. Your line is open.
Rishi Jaluria: Hey, guys, thank you so much for taking my questions. Two here, first, I wanted to ask, the go-to-market being virtual, obviously, in this environment and some of the dialing back of advertising spend. Just how are you thinking about sales and marketing efficiency from here, especially as we think about optimizing the model for the balance of growth and profitability? And the other question was just in terms of thinking about payments from university partners, any color that you can provide in terms of are there university partners looking for extension on payment terms or restructuring or anything like that et cetera?
Christopher Paucek: So, on the second one easy answer that that's not been an issue. On the first I would say, as Paul mentioned in his script we are pushing in the benefit of lower advertising costs to drive towards the efficient frontier of these individual marketing funnels and individual marketing opportunities. And effectively what that means is our partners need us right now. You're talking about significant dislocations to things like international students in each of these universities. And so, the fact that we're very clearly up and running the fact that even our bootcamps, which was the one part of our business that was physical, now, not only are they online but they might always be online because it's going really-really well. So that is of importance to the partners. So we are pushing forward aggressively right now because we can. We're open and these are strong high-quality options for people and I would also say options that can help people have a more productive life once they graduate like right now the rescaling opportunity on the bootcamp side has never been more needed. I mean you're talking about people that with the number of dislocations for individuals in terms of the unemployment rate, we think this is a moment in time where people need the rescaling. So we are continuing to drive the outcomes and obviously the marketing is part of that and we're using this opportunity to create sort of more robust funnels for the university partners not less.
Rishi Jaluria: Great. That's helpful. Thank you so much. 
Operator: Your next question comes from the line of Mr. Brian Schwartz from Oppenheimer, your line is open.
Brian Schwartz: Yes. Hi. Thanks for taking my questions this afternoon. Chip want to ask you a question on a different topic in subject it's about your portfolio of products and services. Really it's about the future and capitalizing on the elevated lead flow that you're seeing. So can you share with us how you plan to cross-sell to these students and learners as they enter two year universe here from different front doors? I know it's early here but I'm just wondering if you're seeing any monetization synergies with the three different product offerings for example are you seeing a short course student maybe continuing on the curriculum, signing up for the boot camp or the DGP business and just was hoping if you could just provide a little more color into the strategy around that and that sounds like you are seeing some early traction. Then I have a follow-up for Paul. Thanks.
Christopher Paucek: Yes, we are definitely. We think the value of share across the portfolio is very significant. We think the value of the content across the portfolio is significant. We have more schools that are embedding technical training into their various programs. We think that over time offering technical training for credit is really appealing and clearly from a marketing synergy standpoint. I think people do forget that when we acquirer get smarter a couple of years ago you had a pretty small overall course base and now we're getting to the point where we've got a broader portfolio of individual courses and so you obviously can't cross sell when there's not a lot to cross sell and now that we have got more options for people. The CCC is pretty fluid. Some people enter the Career Curriculum Continuum because they graduate from high school and they want to go right to learn to become a coder and then they eventually may take a short course. Some people like me might progress from undergrad to eventually a master's degree and I might need a Black Jane course because I'm not entirely sure what it is. You've got different people entering in different stages and it just creates an opportunity for us to meet the student where they are and to provide that learning experience to the student. That was a big part of the reason that we actually acquired the two companies we did. So early days still on share but it's attractive.
Brian Schwartz: And then Paul, the follow-up question that I had -- it's maybe a follow-up on the earlier question but maybe I'll just ask it a little bit differently tactically. When you scrubbed and looked over the cost structure of the business where did you see the most opportunity to kind of cut back to protect cash flows? Thanks.
Paul Lalljie: I mean I think there are a couple of things. We have some natural levers as we think of the integration of the three businesses over time as we continue to bring together GetSmarter, Trilogy and traditional 2U. That was one of the things that we started doing midway through last year and we saw a lot of that type of savings as we got into the fourth quarter but those happens to be run rate savings meaning they continue and build upon themselves over time. In addition to that as we become a larger company having centralized procurement and sourcing and doing things in a centralized fashion and benefiting from volume scale those types of things are the traditional things that we've put in place so far that are getting us the type of synergies that we expect to see as we move forward. And then in today's environment as we go through working from home we see the benefits of P&E, travel -- travel type savings and then as our technology platform, our technology build how do we build technology consistently across the three offerings and then marketing as we bring the marketing teams together and think about while we may not have one marketing algorithm that goes across all three of our offerings we can at least have a consistency of methodology, a consistency of the way of doing business things like that. So we're seeing benefits also in that environment and as we sit here today and look forward into 2020 as Chip alluded to in his prepared remarks, we are seeing lower cost per lead so that is giving us some benefits on the marketing side. However, we will spend on the marketing side because at the end of the day the marketing side is more driven and governed by the marketing frontier and it's more governed by yield and conversions but those are some of the areas we're still, we have several plans our chief operating officer Mark Chernis spends time with the organizational structure, the organizational design, how we do things. We're not building a company to cut cost, we're building an organization to offer it efficiently and serve our partners better so that the students can have a better experience. And if we continue to refine the organizational design and how we do things then we will generate efficiency through that and it becomes more sustainable type of cost structure. So those are some of the areas that I touched on there and I think we will continue to see this type of efficiency as we go through time.
Brian Schwartz: I appreciate the color. That was real helpful. Thanks Paul.
Operator: Your next question comes from the line of George Tong from Goldman Sachs. Your line is open sir.
George Tong: Hi. Thanks. Good afternoon. You talked a bit about marketing costs that are decreasing in the current environment and just overall a more thoughtful approach to launching programs that have a higher ROIC which over time should have a positive implications for free cash flows. Can you discuss your broader expectations for free cash flow performance and when you might expect to breakeven?
Paul Lalljie: Yes. So I mean, I think if we, let me speak of this from two components. On our fourth-quarter call, I talked about our goal was to have a crossover somewhere midway through 2021, the first half of 2021, meaning crossing over to a quarter where we are cash flow accretive versus a use of cash in that particular period. And then probably until the next calendar year to have a full year of free cash flow positive. The performance we had this quarter, I would break down the performance in three components. I mean, part of it is the cost savings and the activities and that Mark and his organization are leading in the company but then we have also the component of lack of travel and other savings around working remotely things like that. If we split those two things I would say we have a real sustainable improvement in the free cash flow that we saw this quarter and that puts us ahead of plan. So I am providing a response that is more aligned with the things we said pre-COVID because in this environment that we're in it's harder for me to predict when this is going to end, what the top-line is going to be like, what are the new opportunities, what are some if some of the impact if any that is negative and how long that is going to last. So it's hard for me to predict in this current environment but what I can say to you the trends are looking good given what we delivered in the first quarter here. And we have no reason to doubt that that will not continue as we go through the very helpful. 
George Tong: All right. That's very helpful. And then just stepping back broadly you mentioned that the pandemic can have both the positive and a negative impact on the business. Can you just elaborate on the factors that could cause the growth to decelerate, so the downside factors. I know bootcamps were previously thought to be a risk now it could potentially be an opportunity. Placements on the grad side also another swing factor. So can you maybe elaborate on some of the things that you do see as downside risks to growth?
Christopher Paucek: Right. So an example of something that we had to do in Q1 is immersions our physical  moments where student goes to -- to be together with their classmates somewhere in the world, very often on campus but not always so there's a lot of global emergence and before COVID the only time we ever sort of had a moment where we lost revenue from an immersion that got cancelled was you might have remembered when Mexico City had that huge earthquake, there was actually quite a large immersion for one of our partners that was there and it got canceled like urgent can be had to deal with that and obviously there's lost revenue. So we had some immersion in Q1 that we just couldn't replace. There was no option of replacing them. It was urgent and we had to cancel them and that was it. So we had that impact in Q1 but obviously delivered Q1 even with that impact. What's good about the immersions go forward is that the students can receive their credit in a variety of different ways not just from virtual immersions but from additional classes that can fill that credit void. Placement is another one where there is some potential impact from placements once again placement credits can be replaced with other types now. The work that's been done here has been awesome like the partners did a variety of virtual placements. So in our support programs we have virtual field practicums where people are, where students are with faculty live in Zoom room and they are live with an actor that is portraying somebody that has a particular condition and it's actually really good because when the student is with a faculty member they can learn in a way that is harder to do when they're actually in the field with that live person who might return from the war with PTSD and you see these faculty jump in and these incredible moments where they're really teaching like live. At some point obviously if you're in a program like midwifery you have to go deliver the babies and so you can push the physical part towards the end of their placement and at the end of the day that needs to be done at some point. Now what's been positive is as an example our Yale PA program we've been able to keep placements running the entire time during this. So when placements were canceled in a particular spot because of what was going on with the pandemic we were able to replace somebody and I give a tremendous shout out to our placement team for that because it's been stressful but it's really worked and I do think that as the world does come to some form of normal the types of places where people are being placed actually are more likely to be emergency designation more likely to be open or open quicker than other things. So we think we can mitigate that impact pretty well and you did mention George bootcamps. When this first happened we did see a dip in demand and we're kind of in the opposite stage now. We're seeing that's become positive, you might have heard me mention in my prepared remarks that we weren't online with all the boot camps and to give our bootcamp team when this happened, our COO very focused on, okay we got to get everything video all these bootcamps online and Greg Calverase our managing director for bootcamps got everything online and five days later it's all online. And I will tell you what's happened since is not only high satisfaction but a broader sort of catchment area for the bootcamp and we think that that is something that's really more likely to be something that sticks around with us. So obviously it's early days but it's positive so far. So there clearly impacts, once we got through in some ways the sort of urgent trying to figure out the world toilet-paper stage where you were dealing with the basic necessities and you have gotten into a period where people have a little bit more time on their hands, it's clear that things like our chair courses are going to be in heavy demand. So excited about what the opportunities lie ahead for the company.
George Tong: Very helpful. Thank you.
Operator: That concludes the Q&A session. I will not turn the call over to Mr. Chip Paucek, CEO for closing remarks.
Christopher Paucek: Thank you operator. I would just end the call with a shout out to the two youths all over the world whether you're in Cape Town or you're in London or you're in LA or here in the DC area or in our Denver or New York offices or you're one of the 300 to 400 people that we have remote or the instructors that are working on behalf of our students in our short courses in our bootcamps, incredibly proud of the work you've done and we very much appreciate as you dealt with the complexities and the daily ups and downs of what is just a crazy moment in our society and one that has its own stress as a human being net-net I'm incredibly proud of what you have done. So thank you very much and we look forward to seeing our investors out on the virtual road.
Operator: This concludes today's conference call. Thank you everyone for joining. You may now disconnect. Have a great day.